Operator: Welcome to the MSA’s Second Quarter Earnings Conference Call. My name is Sandra and I will be your operator for today’s call. (Operator Instructions) I will now turn the call over to Mr. Mark Deasy. Mr. Deasy you may begin.
Mark Deasy: Okay. Thanks, Sandra, and good morning everybody. And welcome to our second quarter call for 2010, as Sandra said. Joining me on the call this morning are Bill Lambert, our President and Chief Executive Officer; Dennis Zeitler, Senior Vice President and Chief Financial Officer; Rob Cañizares, Executive Vice President and President of MSA International; and Joe Bigler, President of MSA North America. Our earnings release was issued this morning at 8:30, and we hope everyone had an opportunity to review it. If you need to secure a copy, it can be found on the homepage of our own website at www.msanet.com. This morning, Bill will provide commentary on our second quarter. He’ll then be followed by Dennis who will review our financials, and after Dennis’ comments we will open up the call for your questions. As always before we begin, I want to remind everybody that the matters discussed on this call, with the exception of historical information, are forward-looking statements within the meaning of Section 27A of the Securities Act of 1933, as amended, and Section 21E of the Securities Exchange Act of 1934, as amended. Forward-looking statements, including without limitation, all projections and anticipated levels of future performance, involve risks, uncertainties and other factors that may cause our actual results to differ materially from those discussed here. These risks, uncertainties, and other factors are detailed from time to time in our filings with the SEC, including our most recent Form 10-Q, which was filed on April 29, 2010. You’re strongly urged you to review all such filings for a more detailed discussion of such risks and uncertainties. Our SEC filings can be easily obtained at no charge at www.sec.gov, MSA’s own website and a number of other commercial sites. That concludes our forward-looking statements. At this point, I will turn the call over to Bill Lambert for his comments on our second quarter. Bill?
Bill Lambert: Okay. Thank you, Mark, and good morning, everyone. Let me begin by saying thank you to all of you for joining us here today on this conference call and for continued interest in MSA. Presumably, all of you have seen our second quarter earnings release and have our financial figures with all comparisons corresponding to the equivalent second quarter of 2009. I’ll start my comments by saying that at a very high level, during the quarter we saw signs of economic stabilization in many parts of the world in which we operate. And we saw growth in our Africa and Latin American markets and in portions of the North American economy as well. Certain indicators of global industrial and manufacturing output continue to improve in the quarter, even though global unemployment levels remain high by historical measures and are forecasted to remain high over the rest of 2010 and into 2011. As we had discussed on first quarter call, our incoming order books strengthened the late in the first quarter of 2010, and has clearly helped us weather a decline in Military and Fire service business during the second quarter. I’m pleased to report that our order book remains relatively strong and continues to provide us with a certain amount of cautious optimism that the core industrial markets we serve, which makes up nearly two thirds of our consolidated sales, are slowly and steadily working their way out of this global economic recession. The emphasis we are placing on driving core industrial business, that is the business outside of the Fire service and the Military, is without question generating results as on a year-over-year comparison. North American industrial sales increased 14% and our International segment, our local currency industrial sales were up 21% when compared to the second quarter of 2009. A large portion of this was in our Africa and Latin America zone, serving the mining and broad manufacturing markets in those regions. And even in Europe, our local core industrial sales were up slightly. As you saw in our press release, our consolidated sales in the quarter were 237.2 million, representing an increase of $10 million or 4% over the same period a year ago. In our North American segment, sales were up 4% from a year ago while the International segment sales increased 19%. Conversely, sales in our European segment, as reported, declined 8% from a year ago, of more than half of this decline was due to a weakened Euro and the other half due to lower Fire service sales. MSA consolidated gross profit, as reported, increased $4.9 million on a consolidated sales increase I just noted, an improvement of 50 basis points when expressed as a percent of sales. This improvement reflects both the change in product mix, with an increase waiting towards industrial markets, and the results of our continued efforts to improve those margins and operational efficiencies around the globe under project Magellan. During the quarter, it’s important to note that we recognize the $2.6 million pretax charge for restructuring efforts, or roughly $0.05 per basic share after tax. $1.5 million of this restructuring charge was in Europe. As I noted on our last earnings call, earlier this year, we have moved into a new phase of activity in our efforts to transform MSA Europe. This multi-year project, when completed, will reduce our operating cost in (International) segment, improve and streamline decision making there, and ultimately improve the profitability and effectiveness of our European organization. It is a multi-year, long-term improvement plan but we’re making steady progress toward our goals in Europe. To give you a bit more insight into the results of our three geographic segments, I’ll start with North America. As I stated earlier, North American sale showed an increase of $4.4 million or 4% versus the second quarter of 2009. Higher invoicing in North America was the result of the following key factors; overall, we are continuing to see a broad-based increase in end-user demand in the North American industrial market and an improvement in our distribution channel’s willingness to restock safety equipment. During the quarter, we saw an increase in sales of 9.8 million or roughly 15% in the North American core industrial market versus the same period last year. What was especially encouraging to us is that this growth occurred across multiple core product lines. More specifically, sales of hard hats and head protection products increased 37%. Portable gas protection instrument sales increased 35%, and air-purifying respirator sales increased almost 26% over the same period last year in North America. North American military sales, which includes the U.S. and Canada, were off $3.2 million or down 24% from a year ago, primarily related to lower ballistic helmet sales. Although we received first article approval in April to begin production in ACH3, we have experienced some significant start-up delays as we transitioned to this new contract. This hampered our ability to realize significant improvements in revenue in the military market during the quarter. These delays in ramping up production of the ACH3 were clearly a disappointment, but I am confident that we have worked through all the necessary production and final testing issues. our goal is to ramp up to the desired levels of production during this quarter which should bode well for the second half of 2010 as we ship ACH helmets to the U.S. Army under our $45 million contract. Looking at the Fire service within North America. Fire service sales were down $2.1 million, or 6%, reflecting the ongoing budget and revenue difficulties that continue to restrict municipal spending in this area, even though nearly all of the 2009 Federal AFG awards have been distributed. We have no indication on 2010 AFG award money will begin to flow, whether that’s later this year or into next. Shifting gears to our margin performance. Our gross margins in North America were up 90 basis points in the quarter when compared to the second quarter of 2009. This is primarily related to the more favorable product mix, resulting from a higher percentage of commercial core industrial sales and a lower level military business. Operating costs in North America were up $1.4 million versus last year, of which $0.7 million half is related to cost containment initiatives that lapsed at the end of 2009, but were in place during the second quarter of last year. The remaining increases in R&D and selling expenses, on the higher industrial market sales, offset by a slight decline in administrative cost. Shifting our focus now to MSA Europe. Sales were down 8% from a year ago, as reported. Over half of this decline was due to a weaker Euro but sales were also down due to lower Fire service business. Budget and catch difficulties caused by the recession are restricting municipal spending in Europe, just as it is here in the U.S. eliminating currency translation effects, European sales were off 3% from the second quarter of 2009, all of this attributable to decreased Fire service sales. Local currency Fire service sales were down 9% in the quarter versus the same period last year. Offsetting this decline however, where modest increases in local currency to our military and to our core industrial markets within Europe. Compared to what we’re seeing elsewhere in the world, the pickup in order activity has clearly been a bit more choppy in Europe. We continue to see a very slow recovery occurring there, as Europe continues to be impacted by the ongoing recession, solving death related issues and very high unemployment levels in countries in which we do business. Our gross margins in Europe were 140 basis points above4 a year ago, reflecting better pricing discipline, better indirect cost control and a change in mix with the lower level of large military shipments. We continue to make positive steps forward in managing operating cost in Europe where our local currency operating expenses were kept essentially unchanged from a year ago. During the third quarter, I expect to see continued progress in this area as we begin to see the impact of our workforce adjustments through the voluntary retirement program, which was implemented in the first and second quarters this year. Lastly, turning our attention to International segment. I’m pleased to report that we’re seeing some strong and encouraging improvement there. Overall, the International segment reported a sales increase of $10.4 million, a 19% improvement from the same period of the year ago. Eliminating currency translation effects, international sales were up 10% from the second quarter of 2009. Incoming orders are up year-over-year and on certain regions, like Latin America, we have seen significant improvements where local currency sales improved 6.8 million, or 49%, from the second quarter of 2009. Broadly across the International segment, core industrial sales were up 33% from the second quarter a year ago with only one third of this increase attributable to the strengthening of foreign currencies. These clearly reflects a strong rebound in demand for our products in core industrial markets with any emerging international markets. On a local currency basis, international gross margins were up a very strong 620 basis points, reflecting more effective pricing discipline and our favorable product mix in several regions of the world. Local currency operating cost were up $3 million or 19%. Much of these increases in Latin America on significantly higher levels of sales. Strengthening sales and stronger gross margins resulted in solid improvement in our International segment and net income when compared to the same period a year ago. Overall, I think we had some noteworthy successes during the quarter. Our performance in the global industrial market was very strong in the quarter and is especially encouraging when we consider the broad increases experienced in the multiple core product lines I noted earlier. Local currency sales of head protection increased 415, while portable gas protection sales increased 23% and global air-purifying respirator sales increased 24% over the second quarter of 2009. Our focus on channel optimization in North America, in particular within the industrial market is clearly paying off with significant increases in industrial market sales. Our business in Latin America is continuing to recover with significant local currency sales growth when compared to the second quarter of 2009. We’re benefitting from our strength in this region and the general economic recovery clearly underway there. We continue to make strategic investments in certain areas and are continuing our efforts to be prudent in managing our operating cost. While we remain focused on investing in targeted growth areas, we are mindful of the ongoing economic uncertainties. For this region, we have and continued to focus in on managing cost around the world, and especially in Europe, where one measured in local currency, operating expenses were essentially flat when compared to a year ago with greater improvement expected throughout the balance of this year, due to the measures that we took and announced in the first quarter of this year. Although the recovery we are experiencing from the economic stimulus plans implemented by governments around the world is having a favorable effect. I feel the additional actions and measures that we have taken during the last 18 months have helped us to emerge strong and in a way that will significantly increase shareholder value in the future, as the world economies gain further strength. While defensive measures we adopted during the recession helped us weather the downturn, our offensive focus on multi-year strategic measures like project Magellan to lower our cost, a clear focus on our core product lines and our core markets, a long-term commitment to developing exciting and innovative new products that advance worker’s safety, implementing programs to build customer satisfaction and to optimize channels of distribution and our success at penetrating and growing emerging markets, like those in Africa and Latin America, have all helped us to recognize increased sales and margins during this quarter. I want to assure you that we remain focused on these strategic programs and other targeted core areas of our business, which hill help us to accelerate growth, increase market share and ensure the company’s long-term success. Now I would like to turn the conference call over to Dennis Zeitler, our CFO, who will provide you with more insight into our financial results. Dennis?
Dennis Zeitler: Thank you, Bill. Good morning everyone. I would like to give you some further insight into our second performance and comment on the balance sheet and cash flow statements. Additional information will be available later today when we’ve file our Form 10-Q with the Securities and Exchange Commission. As Bill mentioned, sales in the second quarter of 2010 were $237 million, compared to the second quarter of 2009, sales were up 4%, with an increase of 19% in our International segment, 4% in North America and a decrease of 8% in Europe. By markets, the Fire service was down 11%, Military down 18% and core industrial business, which is two thirds of our business, increased 16% over last year. Currency rate changes did not have a significant effect on these numbers. Another usual comparison is to look at the sequential change in sales since the first quarter of this year. This gives us a better understanding of how we are recovering from this recession. On this basis, consolidated sales increased 12%; Military sales were 32% higher than the first quarter, Fire service up 8% and our industrial sales up 11%. As Bill said, North American sales in the second quarter were up 4% compared to 2009, comprised of a 6% decrease in the Fire service, a 24% decrease in the Military and a 15% increase in industrial sales. U.S. Fire service has certainly benefited from the ongoing release of ASG funding but that benefit has been more than offset by the real budget constraint that so many municipalities are dealing with due to the recession. As we have discussed for several quarters, our U.S. Military sales are depressed due to the gap and ACH production as we transition between contracts. We are hoping that this will not be an issue for the remainder of the year. The good news is the head protection, gas detection and respiratory protection sales in North America were up 37%, 35% and 26%, respectively, over the depressed levels of 2009. Our international sales were up 19% this quarter, of which 10 percentage points was currently gains. Over 5 (inaudible) sales were down 24%, Military was down 36%, our industrial sales, which represents 86% of our International segment sales were up33% over the second quarter of 2009 and up 13% over the first quarter of this year. In Europe, our sales were down 8% compared to the same quarter last year, Fire service was down 13%, Military gown 2% and industrial sales down 6%. Adjusting for the weaker Euro, sales Europe were down 3%, with the Fire service down 9%, Military up 2% and our industrial business up 1%. The other’s view of our sales performance is to separate the two portions of our business that historically have been the most volatile, the U.S. Fire service and the U.S. Military, from everything else. Our U.S. Fire service sales of $26 million was a decrease of 13% and our U.S. Military sales was a decrease of 185%. Then when we look at all of our other globally, diversified sales which comprised 85% of our total sales this quarter, these sales were up 9% at current exchange rates are up 8% when you exclude currency rate changes. Our gross profit rate for this quarter was 38.1%, up from 37.5% last year. Our success with strategically pricing the MSA brand along with our continuing global efforts to reduce manufacturing cost, both words to improve our gross profit rate. Selling and administrative cost in the second quarter were 25% of sales, the same ratio as last year’s second quarter. We continue to work diligently in reducing and controlling the numerous aspects of administrative costs. The increase cost we are accepting are the added sales expenses in both North America and South America, while industrial sales strategies are working very well. Our investment in new product developments this quarter was just over $8 million dollars, which is the same as the first quarter of this year and $1 million more than the second quarter of 2009. The resulting operating income, excluding restructuring charges and currency gains, is $21 million. $1 million less than the same quarter last year but 50% higher than the first quarter of this year. As a percent of sales, this is 9% this quarter versus 10% in the second quarter of last year and less than 7% in this year’s first quarter. Our consolidated tax rate this quarter was just under 35%, about 2% less than last year. The bottom line is net income of $11.8 million or $0.33 per basic share, compared to $0.35 last year. Our pro forma basis, which would exclude restructuring charges and currency gains, our net income, will be $12.5 million which is $0.35 per share. As for the balance sheet and cash flow statement. Our cash position continues in excess of $60 million. We had seen increases in accounts receivables and in inventories around the world as our business has improved, but these have been offset with improvements we have made in accounts payable and other short-term liabilities. And net increase of working capital so far this year is $11 million. Our capital equipment purchases as only $7 million over these first six months and our dividend payout was $18 million. Those were my comments. At this point, Bill, Rob Cañizares, Joe Bigler and I will be more than glad to answer whatever questions you may have. Please remember that MSA did not give what is referred to as guidance, and that includes most discussion related to our expectations for future sales and earnings. Having said that, we will now open the call to your questions.
Operator: (Operator Instructions) The first question is from Brian Ruttenbur from Morgan Keegan.
Brian Ruttenbur – Morgan Keegan: Okay. Thank you very much. Looks like things are bouncing back for you. Let me talk about the next couple of quarters, not to get too specific but just try and understand trends. Will revenue – it looks like will be up from second quarter. Is that where you’re heading with the combat helmet starting to get produced, the ACH3s, is that the trend you’re looking at?
Dennis Zeitler: Well certainly we have no essential revenue from combat helmets or – yet no revenue from the ACH3 in the second quarter, so yes, Brian. And the third quarter we fully expect to see that increase quite dramatically as we ramp up to full production.
Brian Ruttenbur – Morgan Keegan: Okay. Now the $45 million contract, you expect to ship on that, 100%, by when?
Dennis Zeitler: Joe, I look to you based on that –?
Joe Bigler: That kind contract will go through the third quarter to the fourth quarter of next year.
Brian Ruttenbur – Morgan Keegan: Okay. But the majority will be – is it going to be front-end waited, equal waited? How do you plan to ship that?
Joe Bigler: I would say beginning in the second half of this year. Particularly beginning in the end of the third quarter, beginning of the fourth quarter. We will have two plants on board. We’ll bring our (inaudible) plant on I hope the beginning of the fourth quarter, and obviously have our new Port plant up in Vermont into full production. So with both plants in this whole production, we should see good invoicing in the fourth quarter, equally balanced through the rest of 2011.
Brian Ruttenbur – Morgan Keegan: So it’ll be a smaller ramp in third quarter and then the bigger ramp up will be on the fourth quarter and then kind of equal going forward. So it would be more like a couple of million going up to double digit, 10 million something like that.
Joe Bigler: That’s our expectation.
Brian Ruttenbur – Morgan Keegan: Okay. Thank you very much.
Dennis Zeitler: You’re welcome, Brian.
Operator: The next question comes from Edward Marshall from Sidoti & Company.
Edward Marshall – Sidoti & Company: Good morning guys. I was in the impression that ACH3 up in May. What was start-up delays that happen? What makes sure they’re now behind you and you’ll begin shipping? I think it’s a couple of quarters now and I don’t mean to press but it’s been a couple of quarters that we’ve expect that this helmet contract to kind of start ramping up. So what gives you kind of the confidence as we move forward in the particular start up.
Bill Lambert: I said in my comments that it was clearly a disappointment. We fully expect it to be up and running in shipping product and in the month of May as well. I think we indicated that to you on the last investor conference call. The issues we’re getting into first article approval. We received all of that. We will get into production during the balance of this year.
Edward Marshall – Sidoti & Company: You participated in (conserval) in the ACH. But the experience, is it relevant here?
Bill Lambert: I think that this is something in producing this product, the product is always the same., the improvements, the requirements that didn’t exist before.
Edward Marshall – Sidoti & Company: Imagine the military’s running quite additional competitor coming in here to compete?
Joe Bigler: So we do fully expect another proposal from the government. On the ACH3, that is MSA and another private company. Keep in mind this $45 million contract that we have. This is a contract that was issued by DSCP, it’s defense supply, and they basically set p their own laboratory. The manufacturers are dealing with these people. These are the different cast of characters that the manufacturers are dealing with.
Edward Marshall – Sidoti & Company: Good. Thank you guys for the call.
Operator: The next question is from Walt Liptak from Barrington Research.
Walter Liptak – Barrington Research Associates, Inc.: I don’t want to beat the dead horse on the helmet issue, but there is – understand delays from the manufacturers in Ohio, or not delays, but I guess there was a recall. I’m wondering if the issue is that the ACH is more difficult to manufacture and that’s causing your production delays?
Dennis Zeitler: I’ll comment on that. First of all, the helmet that was manufactured by the competitor was not the ACH3. The issues that we’re wrestling here, I don’t think at all related to some of the quality issues that the competitor experienced and so I would not cost the ramp up issues that the competitor had on a previous generation on product.
Walter Liptak – Barrington Research Associates, Inc.: Dennis, you mentioned in your commentary that the charges this quarter equated to about $0.05 per share. If you have three, three cents with the quarter with the charge and that white adjuster, we’re not looking at 28.
Dennis Zeitler: The difference is only $0.02. We appoint 33 and the pro forma 35. Currency gains are 1.7 million.
Joe Bigler: North America was .8, and .3 million was international and 1.5 million Europe. That’s the break out of the 2.6.
Walter Liptak – Barrington Research Associates, Inc.: Okay. Well thank you.
Operator: The last question is from Dick Ryan from Dougherty.
Dick Ryan – Dougherty: Good morning guys. You mentioned Africa and Latin America. Can you talk about the Asia Pacific area?
Joe Bigler: Sure. In Asia, we have sort of a mix tag. Because Australia is a big part of Asia and Australia is a developed economy is not really picking up that fast. The raw materials segment have begun to improve. But Australia really didn’t have a very deep recession. So Australia is sort of a stabilizer in that part of our region. China has had growth but not quite as fast we had expected and anticipated. Southeast Asia is doing relatively well. Japan which is an economy that is relatively week in total. So in total, Asia is the combined factor relatively slows steady growth but it is Australia is g=relatively flat and wrist is growing at a great rate.
Dick Ryan – Dougherty: Say Joe, I haven’t heard much on the ACH testing. Anything changing there? Is there anything going on with either if those two opportunities?
Bill Lambert: They’re in the process of testing or submitting to the government and that’s where we are. So it’ll probably be another few months before we hear anything on the ACH.
Dick Ryan – Dougherty: Okay. And though just one maybe high-level question. Honeywell’s acquisition to Experian. Does that change any competitive dynamic or wasn’t much to begin with? Are you seeing anything there with that acquisition?
Bill Lambert: Well, sure. I think, an acquisition like that changes competitive dynamics. Of course we full anticipate that. We haven’t seen a whole lot just yet. I don’t think that DO has completely closed, it has received government approval so we would that close during the third quarter, but we’re anticipating that that will have competitive impact in the market sure.
Dick Ryan – Dougherty: Okay, great. Thank you guys.
Joe Bigler: You’re welcome.
Bill Lambert: Thanks, Dick.
Mark Deasy: Okay. Well, I want to thank everybody for staying on. We went a little bit longer than our normal time. But hopefully everybody found today’s session insightful. I want to remind everybody that an audio replay of today’s call will be available on our own website for the next thirty days. And with that, on behalf of Bill, Dennis, Joe and Rob, thank you again for participating on today’s call. And we look forward to talking with you again soon. So long.
Operator: Thank you, ladies and gentlemen. This concludes today’s conference. Thank you for participating. You may now disconnect.
You may quote up to 400 words of any transcript on the condition that you attribute the transcript to Seeking Alpha and either link to the original transcript or to www.SeekingAlpha.com. All other use is prohibited.: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY’S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY’S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY’S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!